Operator: Thank you for standing by. And welcome to the Seanergy Maritime Holdings Corp. Second Quarter 2021 Financial Results Webcast. This press release contains forward-looking statements as defined in Section 27A of the Securities Act of 1933 as amended, and Section 21E of the Securities Exchange Act of 1934, as amended, concerning future events. Words such as may, should, expects, intends, plans, believes, anticipates, hopes, estimates and variations of such words and similar expressions are intended to identify forward-looking statements. These statements involve known and unknown risks, and are based upon a number of assumptions and estimates, which are inherently subject to significant uncertainties and contingencies, many of which are beyond the control of the company.
Stamatis Tsantanis: Thank you, Operator. Hello, everyone, and thank you for joining our call. Today, we will discuss our results for the second quarter and first six months of 2021 and we will provide you with a general update of the major corporate events that have taken place. I’m very excited to see that our strategic plan has started to pay off and Seanergy is expected to prosper for years to come. Our substantial freight and fleet growth over the last 12 months has been well done and has allowed Seanergy to maximize its participation in this strong market rise. I’m also happy to see that the freight rates have recovered close to historical averages after a decade of underperformance. I believe that Seanergy is well placed to reward its shareholders in this environment. In addition, our financial transactions over the past 12 months have solidified our capital structure and we expect to take full advantage of the strongest market in a decade.
Stavros Gyftakis: Thank you, Stamatis. Welcome everyone to our second earnings call for 2021. Let’s start by reviewing the main highlights for financial statements for the second quarter and six-month periods that ended on June 30, 2021. Our financial performance benefited from the strong drybulk market as gross revenue was equal to $28.9 million, an increase of 209% from the second quarter of 2020. Our daily time charter equivalent for the quarter was approximately $20,500, a 270% increase, compared to $5,424 for the second quarter of 2020. Our TCE performance was affected by the conflation of index-ling charges to fix during the fourth quarter of 2020, which was done as part of our freight hedging strategy. For the third quarter, the majority of our fleets available days have been fixed at a rate that is roughly in line with a quarter-to-date average of the BCI, including eight conversions of index-link rate to fix. Based on our commercial performance so far, we are on track to see stronger financial results in the second -- in the next quarter. At the moment, certain vessels are employed under index-link charters that allow the company to benefit from the positive freight market trends and eight of these charters of conversion options, allowing us to convert to flat rate based on the prevailing FFA curve For the fourth quarter we have fixed only two index-link ships at around $32.5000 , but we continue to monitor the movements of FFA and may proceed with more similar features. Adjusted EBITDA in the second quarter of 2021 was $11.3 million, up from negative adjusted EBITDA of $1.8 million in the same quarter of 2020. While Seanergy also generate a net income of $2 million, compared to a net loss of $11.3 million in the same quarter last year, and a net loss of $1.3 million in the first quarter of 2021. For the six-month period that ended June 30, 2021, Seanergy record is a daily time charter equivalent of $18,327, compared to $6,985 and $8,368 in the corresponding periods of 2020 and 2019. Gross revenue was equal to $15 million, an increase of 116% from last year’s corresponding interim period. Adjusted EBITDA for the first six months of 2021 was equal to $19.2 million, a big improvement from a negative adjusted EBITDA of $0.5 million in 2020. Lastly, we recorded net income of $0.6 million, compared to a net loss of $19.7 million in the first six months of 2020.
Stamatis Tsantanis: Thank you, Stavros. Once again, we’re very excited to be in the strongest market in a decade. After years of market imbalances, we seem to have ended a long-term period of strong demand and slow fleet growth. In 2021 and 2022, drybulk demand is expected to rise by approximately 4% and 2%, respectively, on a ton mile basis, while net fleet growth is projected to be around 3.3% and 1.2%, respectively, in 2021 and 2022. These figures are very constructive for the drybulk market especially when viewed in the context of strong fiscal spending and infrastructure construction in many parts of the world. During the second quarter and first half of 2021, the Baltic Capesize Index averaged about $31,000 and $24,000, respectively. These healthy levels have been realized, even as the market has not yet recovered completely from the operational inefficiencies in Brazilian iron ore mines that started in early 2019. Capesize day rates are currently at around $30,000 a day. This performance is truly exceptional considering the weak seasonality of the first half. All major miners are estimating more than 90 million tons of additional iron ore production in the second half of 2021, which implies much stronger seaborne iron ore volumes in the next month. Global demand for steel and iron ore remains very strong as China continues record volumes of steel making with the 12% year-on-year rise. In addition, high quality iron ore experts from Brazil have lower emissions and are benefiting from China’s environmental pollution product reduction targets. Vale recently stated its target of achieving 400 million tons of iron ore production by the end of 2022 and given the long distance voyages out to Brazil, expect this to generate significant incremental Capesize demand. Coal seaborne volumes are also staging a very strong recovery from the extreme COVID induced weakness of 2020, while the tensions between China and Australia have helped coal ton miles to increase even more. Coal generated electricity in China has outpaced the growth in domestic coal mining by a wide margin in 2021, which we expect to be positive for coal import demand. As mentioned before, we have already fixed two of our vessels on a one-year time charters above $31,000 and we’ll see additional demand for bigger charters at the lucrative fixed rates. In addition, Capesize asset values have risen by more than 45% since the end of 2020. Looking at vessel supply over the next few years, we are very optimistic as the upcoming environmental regulations will have a positive effect in the market. The immediate reduction of emissions that will be enforced in 2023 which is unavoidable will lead to the speedy reduction of 10% to 15% for the global fleet and create a strong vessel supply squeeze. This event will likely boost the market even more. The effect will be even greater when adjusted for the larger ships like Capes and Vale marks. In addition, the uncertainty surrounding future prevailing marine technologies, compatible with a 2030 global shipping emissions and the extensive orders for vessels like container ships have led to the lowest newbuilding order book in decades. Going back to my initial point, we have entered the period of strong demand and slow fleet growth that we expect will last for the next few years. Over the last years, we have carefully positioned Seanergy to take advantage of this supercycle. Our great fleet with full market exposure is expected to benefit substantially from this month. We’re fully committed to creating shareholder value. And with that, I would like to turn the call over to the Operator and answer any questions you may have. Operator, please take the call.
Operator: Thank you.  The first question comes from the line of Tate Sullivan from Maxim Group. Please ask your question.
Tate Sullivan: Thank you. Good day, everyone.
Stamatis Tsantanis: Hi, Tate.
Tate Sullivan: On your -- hi. Hello. Good. On your TCE guidance commentaries that mostly of around $29,000 for 3Q will most of the contracts that you converted to fix reset by 4Q?
Stamatis Tsantanis: Well, yes, they do reset. We have a lot of fixtures, which is the weighted average of the spot rates. What we expect to be the end of the quarter rate that we will receive from the index-link once, as well as the fixed rates and the ones that we have converted from floating to fixed. So this is pretty much a figure that we can be quite set and that we can meet for Q3.
Tate Sullivan: And then -- but then going into Q4 and given its…
Stamatis Tsantanis: Yes.
Tate Sullivan: …fixed rate say around 30K, $30,000, would you employ that same type of strategy? I think you mentioned earlier maybe continuing to consider fixed as well, floating to fixed?
Stamatis Tsantanis: Yes. Yes. We have already fixed two ships from floating to fixed in Q4 at rates that are exceeding the $30,000 that we have set for Q3. And we’re optimistic that we will try and beat Q4 is going to beat Q3 and Q3 will surely beat Q2 by a lot. So we’re very optimistic with the trend of the rates going forward.
Tate Sullivan: Great. And can you comment, oh, no, you have the two contracts with year terms, I believe, maybe the options go a little longer? What is the longest term contract that you would consider in this type of market? And were term contracts longer than a year available, historically, going back 15 year, 20 years or is a year about as long as you go?
Stamatis Tsantanis: Well, of course, first of all, in a normalized healthy market, you see a lot of contract availability for two years, three year, five years and it’s kind of obvious that, the market is now recovering from multiyear load. So the charters are only now starting to provide fixed rates for longer periods of time. So it’s kind of natural course of events. We expect that to change in the near future, and we hope and we expect that you will see longer period fixed rate contracts being offered and taken by a number of companies. So we’re optimistic. We’re getting there. We’re still in a volatile spot market with strengthening on a day-by-day basis and we are pretty sure that we will see in the next three months to six months longer periods of fixed contracts being offered.
Tate Sullivan: Great. Well, thank you and great detail on the growth in your fleet and the current and 3Q market. Thank you.
Stamatis Tsantanis: Thank you very much.
Stavros Gyftakis: Hey. Thank you.
Operator: Your next question comes from the line of Peter Elsby from Funding Securities . Please ask your questions.
Stamatis Tsantanis: Peter.
Unidentified Analyst: Hi, guys.
Stamatis Tsantanis: Hi.
Unidentified Analyst: Just a couple quick ones from me. So on the flip side, you obviously been quite aggressive in recent months and you’re now in a position where you can basically lock in a lot of free cash flow through the triggering potential further options on the floating time charters. But with that backdrop, how are you kind of thinking on your capital allocation priorities going forward, both in terms of, refinancing the debts, returning value to shareholders and assets, further acquisitions. If you could just elaborate a bit on that, that’d be great?
Stamatis Tsantanis: Well, this is a great question. And we have been discussing that internally a lot. As you know, since the beginning of the year, we have already grown the fleet by 60%. So I wouldn’t anticipate another same rate of fleet increase in the near future. I think that we will come to a point where we will start considering more aggressively to reward our shareholders in the near future. Again, management and Board are in constant discussions about this matter. And coming September, I think that we will be in a better position to assess where we see the short, medium and longer term effect of the cash flow. Our debt position is now quite comfortable, I must say, I mean, we’re in below 40% net loan-to-value. So I wouldn’t consider except for some fine tunings here and there. I wouldn’t expect any radical debt reduction. We’re at very comfortable levels. But shareholder rewards are top of our priorities and we will make sure to reward them as much as we can in the near future.
Unidentified Analyst: All right. Thank you. And just a quick one, if you have the answer, that’d be great. But can you just give us a quick status and the outstanding amount from the Jelco notes and the convertibles for quarter end?
Stamatis Tsantanis: Yes. Of course. Our CFO will give you that numbers right now.
Stavros Gyftakis: Good morning also from my side. I mean, there has been no change in the outstanding convertibles, they continue to be $38.7 million and there is also $1.8 million of loans outstanding. So the loans have been reduced from a $26 million balance at the beginning of 2020 to only $1.8 million now.
Unidentified Analyst: Okay. That’s perfect. Thank you very much, guys.
Stamatis Tsantanis: Thank you.
Stavros Gyftakis: You are welcome. Thank you.
Operator: Thank you. The next question comes from the line of Poe Fratt from Noble Capital Markets. Please ask your question.
Poe Fratt: Good morning, Stamatis and Stavros. Could you -- a lot of good questions before, so you answered some of the questions I had. But one thing I noticed in the second quarter is that OpEx ticked up on a per day basis and I’m hoping that it’s associated with the acquisition should be closed in a quarter. But can you just talk about OpEx in the third quarter and the rest of the year?
Stamatis Tsantanis: Yeah. First of all, I mean, if you look, we have discussed a number of times that the picture of the OpEx, if you look at quarter, so six-month periods is bit distorted. Nevertheless, the average OpEx for the first six months of the year at $5,700 is in line with our average OpEx for 2020. So I mean, when you compare with 2020, there is no, not much difference. So I think 1.5% increase. Now, of course, the fact that we have taken delivery within the first six months of four ships, with a number of politically very expensive, and I mean, flying crucial over the world in an airport, I mean, to optimize the delivery ports of the seats has been an expensive exercise. And let alone the fact that also pre-delivery inspections of the ships are not in the way you used to do them. So, I mean, some excessive ordering of spares and equipment should also be factored in. But nonetheless, I mean, going in the second half and actually going to the fourth quarter of the year, you should expect that OpEx would normalize at the levels you’re used to, so around $5,700 per day, $5,800 per day on an average basis.
Poe Fratt: Great. That’s helpful. And could you, it sounds like, it’s like heard correctly, your TCE guidance incorporates $30,000 for the rest of the quarter, but yet FFA has moved up a little bit. Is there any potential for you to lock in those higher rates through the -- in the FFA market or is that something you’re not looking at right now?
Stamatis Tsantanis: Well, going forward, Q3 we have effectively locked in as much as we could have locked in. So we’re at the maximum potential locking in that we could. So I wouldn’t anticipate an additional floating to fixed rate conversions. For Q4, however, we still have a lot of potential and we have set a number internally as to what would that watermark be for us. And to start doing that and we will -- we have, I mean, right now, we have already fixed two ships for Q4 and when we see the market strengthening that we strongly believe it’s going to strengthen a lot in the second half further. We will suddenly see into additional conversions to fixed.
Poe Fratt: Okay. And just to clarify, Stamatis, that would mean that you have four ships total fixed in the fourth quarter, including the two time charters that, once the Worldship delivers?
Stamatis Tsantanis: Yes. Yes. And the weighted average of these four ships is higher than the guidance we have provided for Q3.
Poe Fratt: So north of $30,000. Okay.
Stamatis Tsantanis: Yes.
Poe Fratt: Can you break out, it would be helpful to get some more color on sort of the cash flow. Can you break up CapEx for the second quarter, what you spent in acquisition and then what you expect to spend in acquisitions in third quarter, I know there isn’t much left, but if we just give those two fingers, that’d be helpful?
Stamatis Tsantanis: Well, we can provide you that in greater detail since the beginning of the year, but it’s somewhere in the region of $159.8 million or $158.9 million, I’m not 100% certain right now, don’t have the analysis. But Stavros can send you the full breakdown on a per quarter basis for Q1, Q2 and Q3. Having said that, in Q3, we have remaining of taking delivery of one more ship and provide -- giving delivery of another ship to its new owners. So it’s going to be a timing event between end of August and beginning of September as to how these things will materialize. For Q4, we don’t anticipate an additional acquisition CapEx. So I think it’s going to be the first quarter without any additional acquisition CapEx to the best of our estimate right now.
Poe Fratt: Yeah. And…
Stavros Gyftakis: We will also be finding next week with a commission to 6-K with the full set of interim financing. So there will be detailed cash flow there.
Poe Fratt: Okay. Great. And then when we look at it, Stamatis, you sort of alluded to it from the standpoint of acquisition activity. The one pleasant -- the positive or the -- I guess the looking at your cash balance ending in the second quarter, given the acquisition activity it was only down $2 million roughly from the first quarter level. And with less active acquisition activity and the sale in the third quarter, my gut is the cash should remain relatively high? Is that -- can you just talk about your potential capital needs looking at the second half of the year, also in the context of the F-3 filing that you recently did and just whether you, if you could just talk about why you file the F-3 and sort of how you’re looking at that at this point in time?
Stamatis Tsantanis: Yes. Great question, Poe. Thank you. First of all, as for the F-3, we do not anticipate raising any equity in the immediate future. We just do it as part of the company’s normal course of business to have an F-3 in place for whatever reason. So for us an F-3 is not something that we use immediately, but it’s something that you may use within a three-year period of time. Obviously, the previous three years are not the same like what we anticipate to be the next three years. So, having said that, we’re not really anticipate to have a big use of that F-3 and less a super spectacular opportunity knocks on the door, which I don’t have anything in mind right now to be on that. So the F-3 is effectively something the normal course of business of the company and we have it there as part of our governance and as part of our normal going concern. In respect of the accumulated costs, yes, we are also in discussions with a couple of lenders to potentially finance some of the debt Friendships, not because we have to, but because of relationships. And like, Stavros, said, and we already said in the press release, all our new lending has been at around 20% loan-to-value. So for us, it’s a matter of need. It’s a matter of relationship with a number of lenders and we do it just to expand the further our banking universe. So we might have some additional liquidity coming in. Now, if another great ship comes across, we will seriously consider. If not and we feel that we need to reward our shareholders further, we will do that. So, again, as I mentioned in the previous question, we will re-examine the whole matter in September and we will decide how to best allocate the cash into shareholder returns or additional acquisitions.
Poe Fratt: Great. That’s helpful. Stavros, could you remind me how many of the Capes are not encumbered at this point in time?
Stavros Gyftakis: Currently, I mean, we have taken delivery of the Friendship, which at the moment is not encumbered. We have nevertheless received a commitment letter from Alpha Bank for the ship. We expect to close the facility within the next couple of weeks. And after that, I mean, we have the goal to come in, we will take delivery using our own costs -- cost on hand. And we do -- we have not concluded all the financing for sure yet. So after the delivery of Worldship we expect to have around $45 million in cash and a debt free vessel.
Poe Fratt: Okay. Great. And I’m not sure if you can talk about this much. But you do have the convert out there and my sense is the convert might be going overhang for the stock price. Can you just talk about what your potential plans for either trying to refinance that or take out the convert debt?
Stamatis Tsantanis: That’s a very good point. We are considering various solutions with that and when the time comes, also from September onwards, we will have a discussion with the holder of the convertible note and we will discuss what are the potential options, but surely it’s going to be for the benefit of the shareholders. And I fully appreciate the fact that this is an overhang for our shares outstanding. We realize that internally we’ve been discussing that and we will try to resolve it with the best possible way for our shareholders.
Poe Fratt: Great. Thank you so much for your time.
Stamatis Tsantanis: You’re very welcome, Poe. Have a great day.
Operator: We have no further questions at this time. Please continue.
Stamatis Tsantanis: So, Laura, if there are no further questions then I guess we should terminate the call. And thank everyone for participating in our Q2 and first six months of 2021 financial results. So thanks, everyone, for participating and thank you, Laura, for hosting this call for us.
Operator: Thank you. That does conclude the conference for today. Thank you for participating. You may all disconnect. Speakers please stand by.